Operator: Hello, ladies and gentlemen. Thank you for standing by for Secoo Holding Limited's Fourth Quarter and Full Year 2018 Earnings Conference Call. At this time, all participants are in listen-only mode. After management's prepared remarks, there will be a question-and-answer session. Today's conference call is being recorded. I will now turn the call over to your host, Ms. Jingbo Ma, Board Secretary of the company. Please go ahead, Jingbo.
Jingbo Ma: Hello, everyone, and welcome to the fourth quarter and full year 2018 earnings conference call of Secoo Holding Limited. The company's results were issued via newswire services earlier today and has been posted online. You can download the earnings press release and sign up to the company's distribution list by visiting the IR section of our website at ir.secoo.com. Mr. Richard Li, our Founder, Chairman and Chief Executive Officer; and Mr. Shaojun Chen, our Chief Financial Officer, will start the call with their prepared remarks, followed by a question-and-answer session. Before we continue, please note that today's discussion will contain forward-looking statements made under the safe harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risk and uncertainties. As such, the company's results may be materially different from the views expressed today. Further information regarding this and other risks and uncertainties is included in the company's registration statement on Form F-1 and Form 20-F as filed with the U.S. Securities and Exchange Commission. The company does not assume any obligation to update any forward-looking statement, except as required under applicable law. Please also note that Secoo's earnings press release and this conference call includes discussion of unaudited GAAP financial information as well as unaudited non-GAAP financial measures. Secoo's earnings press release contains a reconciliation of the unaudited non-GAAP measures to the unaudited most directly comparable GAAP measures. I will now turn the call over to our Chairman and CEO, Mr. Richard Li. Please go ahead.
Richard Li: [Foreign Language]
Jingbo Ma: Hello, everyone, and thank you for joining us today.
Richard Li: [Foreign Language]
Jingbo Ma: 2018 was a remarkable year for Secoo, as it marks our 10th anniversary since our founding, as a leading integrated online and off-line platform dedicated to providing premium lifestyle product and services. Our value proposition is centered around Secoo's ability to seek out and curate a comprehensive section of trend-setting luxurious manufacturers, providers, distributors and influencers. We provide boutique products from all over the world, while delivering a highly customized set of premium services in both our online and off-line channels. As such, Secoo is primarily committed to providing exclusive luxury experience to our customers seeking this lifestyle.
Richard Li: [Foreign Language]
Jingbo Ma: With respect to the expansion of our omni-channel boutique lifestyle platform in 2018, we not only mapped out our business with important special interest assortments such as Secoo Lifestyle, Secoo Ming, Secoo Arts enabling Oracle Cloud, Secoo International portal, but also frequently established cross-over collaborations. For example, we have reached a strategic partnerships with high-end international consumer brand and service providers, including Liberty London, an iconic British department store brand, the Parkson Retail; SASSEUR Group; Ruyi Group; Will's Group; and Caissa Travel, therefore, consistently strengthening Secoo's leading position in the global luxurious lifestyle industry.
Richard Li: [Foreign Language]
Jingbo Ma: For the fourth quarter of 2018, we continue to achieve robust growth in operating performance. GMV reached RMB3.08 billion, representing year-over-year growth of 58.5% increase. The fourth quarter is a traditional strong season for online consumption, and we also realized strong users and sales growth by maximizing the opportunity to sell during the influential consumer event, such as Double-11 and Secoo's own Luxury Festival, which begins annually on December 17, leveraging on our innovative marketing effort. The number of our active customers in the fourth quarter increased by approximately 80% year-over-year increase to a record high of 410,000. Furthermore, we achieved rapid growth in the active customer base for the full year of 2018, with a 70% year-over-year increase to 730,000.
Richard Li: [Foreign Language]
Jingbo Ma: During Secoo's 2018 global Luxury Festival, which catered to the shopping demand of high-end customers, Secoo launched a series of strong marketing campaign, such as luxurious boss life, luxurious culture tour and new luxurious brand show. Behind the scene, Secoo extensively utilized Big Data in analyzing consumption habit, preference and demand of our upscale customers. In this way, we are able to optimize the product mix from our existing business, while leveraging the advantage of superior external resources to curate optimal net mix of offerings. Also, they have been able to successfully expand our premium offering using allocation of fresh service and product, which meet our customers' unique taste for bespoke boutique brands and services, which provide our customer with elevated shopping experiences. Another highlight of 2018 global Luxury Festival was the achievement of integrating our omni-channel strategies in an effort to build on collaborations with strategic partners. This was showcased by a tourism exhibition featuring exclusive tourism offering at a average price above RMB13,000 through integrated online and off-line marketing activities in collaboration with Caissa Travel, as well as a variety of mutual sales, promotion activities in collaboration with SASSEUR Group. Such activities extended our opportunity to seamless integrate online and off-line sales channels. In addition, we just announced a strategic partnership with the national airport and downtown duty-free store operator, China National Service Corporation. This partnership further expand our omni-channel portfolio, with the aim to lead the new retail mode of omni-channel solution in the domestic duty-free consumer industry.
Richard Li: [Foreign Language]
Jingbo Ma: Secoo stride for increasing its brand awareness and enhancing its market penetration in the luxurious consumption and high-end lifestyle market through leading-edge strategies and activities. In March 2019, we continue to host Secoo's [Foreign Language] Festival sales campaign, primarily focusing on beauty product promotion, while we deploy a variety of trendy marketing method to drive sales across all categories and collaborated with certain brands to extend membership rights. Secoo achieved the GMV of RMB450 million during the [Foreign Language] marketing campaign. Also notably, in recent days, Secoo signed a strategic business collaboration agreement with Spring Studios and Spring Place, which is home to prestigious events such as New York Fashion Week and Tribeca Film Festival. Through the partnership, Secoo will broaden and deepen connections to the global fashion community, driving international expansion initiatives, which not only promote a diverse catalog of upscale product and lifestyle services, but also foster creative connectivity with key influencers at intersection of art, fashion, media and luxurious brands.
Richard Li: [Foreign Language]
Jingbo Ma: We also made strides in expanding and deepening our relationship with various premium lifestyle brands, solidifying our reputation and influence in the luxurious goods and fashion space. From the fourth quarter to date, we established the new direct partnership with over 100 brands, including Michael Kors, Ports, Marni, Trussardi, Rene Caovilla, Moose Knuckles, Jason Wu, MSGM, Paul & Joe and Jenny Packham. In November 2018, BAZAAR Jewelry, a world-famous fashion jewelry brand, together with 16 other top independent domestic Chinese jewelry design brands, landed on the Secoo platform. Followed by the brand entree, Secoo partnered with the BAZAAR Jewelry for its 2018 BAZAAR Jewelry award event. Top influencers from the jewelry industry, including the President of BVLGARI China, Cartier China, Graff China and CINDY CHAO, the art jewelry designer, and President of Chow Sang Sang Group, together with well over 100 domestic celebrities attended the event. The best in design award for jewelry were also selected during this event, and simultaneously launched on both Secoo's website and mobile app. Secoo and the brand Karl Lagerfeld have also established a strategic cooperation and will cooperate in omni-channel solutions, co-branded lifestyle products, joint creation of fashion IP creation, also the age-segmented marketing and so on.
Richard Li: [Foreign Language]
Jingbo Ma: Recently, we also formed a strategic collaboration with Italian's well-known luxurious fashion online retailer, LuisaViaRoma, LVR. Through the collaboration, LVR will offer a selection of sought-after European luxurious fashion brands on Secoo's platform to our premium customers. Leveraging the partnership, we will further strengthen our supply chain in Europe. LVR appoints Secoo as its exclusive third-party distributor in China, including Hong Kong, Macau and Taiwan. In April 2019, Secoo entered into a business agreement with El Corte Inglés, a European leader in department store and a benchmark in Spanish distribution, to sell fashion and luxurious product from El Corte Inglés on Secoo's online e-commerce platform bringing expanded and varied shopping selection to Chinese customers.
Richard Li: [Foreign Language]
Jingbo Ma: We are seeing Chinese consumers continue to seek out premium merchandise and the consumption upgrade trend continue to be resilient despite the macro slowdown. To further add to this, more and more consumer demand is emerging especially amongst the millennials, who favor adventurous and interactive experience. High-quality goods contributing to the sales that they have made well-informed purchases, leveraging our online and off-line integrated platform, business reputation and brand strength, Secoo is uniquely positioned to curate and fulfill the premium lifestyle consumption niche in China, which consumers not only enjoying luxury and fashion goods, but also access a wide variety of upscale lifestyle offerings, including high-end tourism, creative arts, sports and fitness to name a few emerging trends. In March, Secoo reached a cooperation agreement with Utour Group Cooperation Limited, a leading outbound travel agency, by fully leveraging our respective advantages. We are dedicated to promote the online and off-line integration and shared membership benefit, providing customer more shopping choices in select shops and brand stores during their overseas tour and constructing a comprehensive online and off-line sales network. So far, Utour and Secoo have jointly launched a 2 day Japanese shopping tourism product. Also in the fourth quarter, we established collaboration with The Forbidden City and Seal Engraver Society, who both are owners of super art and culture IP in China, to promote a series of co-branded creative products, which so far have been well received by our customers. In March this year, Secoo was authorized by Beijing Tung Chung Tourism Council as a special partner with a signed collaboration MOU and was also authorized to aggregate tourism brand resources and conduct tourist product development under the IP of the Forbidden City. This partnership further expand Secoo's selection of lifestyle tourism product, covering hot cultural heritage, such as Palace Museum and Temple of Heaven and popular tourist designation, such as Tiananmen and Wangfujing commercial centers as well as various famous folk culture experience product. In April, we also broadened the point-of-sales for high-end art and established a strategic collaboration with Art Chengdu International Contemporary Art Fair. According to the agreement, Secoo, as the exclusive online co-organizer, will simultaneously exhibit more than 400 artworks from 30 famous domestic and foreign galleries for sale.
Richard Li: [Foreign Language]
Jingbo Ma: I also wanted to address a bit on our business expansion in the sports fashion lifestyle offerings. We officially launched the Secoo Sports in 2018, catering to a late community who engage in the active sports lifestyle. Secoo Sports covers a wide range of businesses, including selling professional sports equipment, providing high-end sports services and promoting sought-after sports brands. In this segment, we focus on projects such as golf, equestrian, skiing, pedal and ball games and cycling to achieve the cross-selling opportunities across high-end sports equipment brands and elite sports services. In January, Secoo participated in ISPO Beijing, the largest - the most influential exhibition in the sports fashion industry in Asia Pacific region. It demonstrates our brand strength and footprint in this field, aiming to lead a trend towards boutique sports lifestyle. Taking a few example of our effort in the fourth quarter, we continue to tap into the rising popularity of winter sports. In addition to working with major ski equipment brands, setting up a winter sports social community with Secoo's membership brands to offer shopping recommendations and discovery services. Secoo also hosted a membership event in partnership with premium golf equipment brand, Callaway, extended upscale sports lifestyle in 2 children centered activities, such as American football trial for kids, golf family day and horse riding references for teenagers.
Richard Li: [Foreign Language]
Jingbo Ma: We believe our ability to leverage premium and curated product and services offerings, combined with superior B2C data analytics round out our core capacity and position us well to capture the rapid growth and the significant market potential in our industry. In the fourth quarter of 2018, Secoo upgraded its operating infrastructure based on Oracle's Cloud Platform architecture and utilizing Big Data. Secoo's front and back-end systems now have higher inter-operational from a financial reporting and operational standpoint. Operational data and information flow are now consolidated, shared and successful through the financial system in real-time providing an intelligence-driven digital platform for faster domestic expansion, as well as serving as the technological backbone of the global platform as a whole. We are confident that digitalization will serve as important booster for Secoo's growth. In this regard, we will continue to focus on data-driven innovation and development, enhance technology capability in core algorithm, which drive intelligent business decision making in the operation and application of new technology course, such as AI, AR and blockchain in the business.
Richard Li: [Foreign Language]
Jingbo Ma: Benefiting from expansion of our brand recognition, large customer base and proactive customer engagement and strong data-driven digital marketing capability, we continue robust momentum in our advertising sales through the quarter. Illustrated by a 237% year-over-year increase and a 294% year-over-year - quarter-over-quarter increase. In 2018, we serve 36 advertisers operating top tier brands in segments such as automotive, luxurious goods line, financial services and smart product. Notably, Secoo partnered with finer label to publish a light paper for luxurious spending power, addressing user profile of luxurious shoppers on Weibo. This combined shopping data from Secoo's online platform and online social behavior of customers through Weibo accounts, including their engagement habits and rich QL and collaborative referrals. This white paper is regarded as invaluable study addressing how to successfully implement digital marketing for high-end brands on Weibo. Additionally, leveraging transaction data however with Secoo's platform, they continue to synch up with Tencent user behavior data having several luxurious brand, including Roger Vivier, TFS, [indiscernible] on the WeChat platform.
Richard Li: [Foreign Language]
Jingbo Ma: With 2019 as the start of our second package of operation, we will embrace the evolution of our business. Keeping a sharp eye on industry trend, we will remain or focused on customer-centric strategy, increasing economy of scale with rapid growth of GMV, upgrade our paying membership program with a continued effort to accelerate number of active users. We will further improve our omni-channel platform with widened product selections, while speeding up the development of our Secoo International portals. In the meantime, we will keep expanding and deepening rent partnership, explore opportunities for crossover collaborations and joint product development in various product categories, upgrade our premium consumer services with innovation. We will also strengthen our technology, management and supply chain operations. We are aggregating resources that take advantage of our channels to achieve sustainable growth in both business operation and financial performance.
Richard Li: [Foreign Language]
Jingbo Ma: With that, I will now turn the call over to our CFO, Mr. Shaojun Chen, who will discuss our key operating metrics and financial result.
Shaojun Chen: [Foreign Language]
Jingbo Ma: Thank you, Richard, and hello everyone.
Shaojun Chen: [Foreign Language]
Jingbo Ma: We are pleased that our fourth quarter financial performance continued to demonstrate our solid growth momentum. During the quarter, we reported net revenue of RMB1.79 billion, a 27% year-over-year increase. For fiscal year ended 2018, we reported net revenue of RMB5.39 billion, representing a 44% year-over-year increase. We exhibit a healthy profitability this income from operation increasing by 475% and 131% on a year-over-year basis for the fourth quarter and full year 2018, respectively, benefiting from the continuous expansion of our business operation and enhanced operating efficiency and delivered net profit for the 10th consecutive quarter.
Shaojun Chen: [Foreign Language]
Jingbo Ma: Now I'd like to walk you through our detailed financial results in the fourth quarter of 2018.
Shaojun Chen: [Foreign Language]
Jingbo Ma: GMV increased by 58.5% to RMB3.08 billion for the fourth quarter of 2018 from RMB1.94 billion for the same period of last year.
Shaojun Chen: [Foreign Language]
Jingbo Ma: Total number of orders increased by 72% to 945,000 for the fourth quarter of 2018 from 549,000 for the fourth quarter of 2017.
Shaojun Chen: [Foreign Language]
Jingbo Ma: Total net revenue for the fourth quarter of 2018 increased by 27% to RMB1.79 billion from RMB1.41 billion in the fourth quarter of 2017, primarily attributable to the continuous expansion of our operation or less offerings of merchandise and services combined with our creative and effective marketing activities, driving the growth in our total active customers and total number of orders served during the period.
Shaojun Chen: [Foreign Language]
Jingbo Ma: Cost of revenue increased by 22.2% to RMB1.46 billion for the fourth quarter of 2018 from RMB1.19 billion for the fourth quarter of 2017. With expanding direct collaboration with international brands, we were able to lower our cost of revenue and improve our gross profit margin for the period.
Shaojun Chen: [Foreign Language]
Jingbo Ma: Gross profit increased by 52.5% to RMB334 million for the fourth quarter of 2018 from RMB219 million for the fourth quarter of 2017, primarily due to the gross margin increase in our merchandise sales as well as our marketplace platform, advertising and other service revenue increased. The gross margin was 18.7% for the fourth quarter of 2018, increased by 320 basis points from 15.5% for the fourth quarter of 2017.
Shaojun Chen: [Foreign Language]
Jingbo Ma: The operating expense increased by 28.3% to RMB265 million for the fourth quarter of 2018 from RMB207 million for the fourth quarter of 2017. Now I'd like to walk you through the expense items in details as follows.
Shaojun Chen: [Foreign Language]
Jingbo Ma: Our fulfillment expense increased by 6.9% to RMB40.1 million for the fourth quarter of 2018 from RMB37.5 million for the fourth quarter of 2017. The increase was primarily attributable to the increase of sales volumes and total number of orders revealed, which resulting increased the operating expenses, packaging costs and third-party payment commissions. Our improved operational efficiency also have mitigating our fulfillment expense during the period.
Shaojun Chen: [Foreign Language]
Jingbo Ma: Our marketing expense increased by 56.4% to RMB153.7 million for the fourth quarter of 2018 from RMB98.3 million for the fourth quarter of 2017. The increase was primarily due to the continuous investments in our marketing and brand awareness promotions as well as the compensation and benefit expenses for our sales-related staff.
Shaojun Chen: [Foreign Language]
Jingbo Ma: Technology and content development expenses increased by 13.3% to RMB21.3 million for the fourth quarter of 2018 from RMB18.8 million for the fourth quarter of 2017. The increase was primarily due to the continuous investment in our technology department, including increase in the number of our technology staff.
Shaojun Chen: [Foreign Language]
Jingbo Ma: Our general and administrative expense decreased by 3.8% (sic) [3.6%] to RMB50.3 million for the fourth quarter of 2018 from RMB52.2 million for the fourth quarter of 2017. The decrease was primarily attributable to the decrease in stock-based compensation in 2018, offsetting by the increase in staff compensation and benefits during the period.
Shaojun Chen: [Foreign Language]
Jingbo Ma: Our operating income for the fourth quarter of 2018 was RMB69.1 million, representing a 475.8% increase from RMB12 million for the fourth quarter of 2017.
Shaojun Chen: [Foreign Language]
Jingbo Ma: Non-GAAP operating income, which excludes share-based compensation expense, increased by 43.5% to RMB75.5 million for the fourth quarter of 2018 from RMB52.5 million for the fourth quarter of 2017.
Shaojun Chen: [Foreign Language]
Jingbo Ma: We recorded income tax expense of RMB10.7 million in the fourth quarter of 2018 compared to an income tax benefit of RMB32.3 million for the fourth quarter of 2017, primarily attributable to the deferred tax benefits in 2017.
Shaojun Chen: [Foreign Language]
Jingbo Ma: We recorded a net income of RMB48.3 million for the fourth quarter of 2018, increased by 2.8% from net income of RMB47 million for the fourth quarter of 2017. As a result of incremental interest expense from our convertible bonds, the income tax expenses, our net income growth was lower than operating income growth during the period.
Shaojun Chen: [Foreign Language]
Jingbo Ma: Non-GAAP net income, which excludes share-based compensation expense, decreased by 37.4% to RMB54.8 million in the fourth quarter of 2018 from RMB87.5 million in the fourth quarter of 2017, primarily attributable to the increase in interest expense from our convertible notes and income tax expense.
Shaojun Chen: [Foreign Language]
Jingbo Ma: Net income attributable to ordinary shareholders of Secoo for the fourth quarter of 2018 was RMB46.5 million compared to a net income of RMB47 million for the fourth quarter of 2017.
Shaojun Chen: [Foreign Language]
Jingbo Ma: Basic and diluted net income per ADS were RMB0.92 and RMB0.89, respectively, for the fourth quarter of 2018 compared to basic and diluted net income per ADS of RMB0.92 and RMB0.88, respectively, in the fourth quarter of 2017.
Shaojun Chen: [Foreign Language]
Jingbo Ma: Basic and diluted non-GAAP net income per ADS were RMB1.05 and RMB1.02, respectively, for the fourth quarter of 2018 compared with basic and diluted non-GAAP net income per ADS of RMB1.71 and RMB1.64, respectively, for the fourth quarter of 2017.
Shaojun Chen: [Foreign Language]
Jingbo Ma: As of December 31, 2018, the company had cash, cash equivalent and restricted cash of RMB1.195 billion.
Shaojun Chen: [Foreign Language]
Jingbo Ma: To remind for - our listeners of our earnings call, for the full year 2018 financial results, I will encourage listeners to refer to our earnings press release for further details.
Shaojun Chen: [Foreign Language]
Jingbo Ma: Now for our first quarter of 2019 outlook.
Shaojun Chen: [Foreign Language]
Jingbo Ma: Starting from the fourth quarter of 2018, we have been undergoing a shift from our marketplace platform to -- in order to improve profitability. As a result, our GMV and revenue mix might be relatively different from our previous business model.
Shaojun Chen: [Foreign Language]
Jingbo Ma: The company currently expects total net revenue for the first quarter of 2019 to be in the range of RMB 0.97 billion (sic) [RMB9.7 billion] and RMB 1.07 billion (sic) [RMB10.7 billion], which would represent a increase of approximately 21% to 33% on a year-over-year basis.
Shaojun Chen: [Foreign Language]
Jingbo Ma: The above guidance is based on current market condition and reflects the company's current and preliminary estimates of market and operating conditions and customer demand, which are all subject to change.
Shaojun Chen: [Foreign Language]
Jingbo Ma: This concludes our prepared remarks. We will now open the call to questions. Operator, please go ahead.
Operator: Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Your first question comes from the line of Karen Chan from Jefferies. Please ask your question.
Karen Chan: [Foreign Language]? I'll go ahead and translate myself. My first question is for within the other revenue, what's the mix between marketplace service and others? And can management give us more color on the breakdown of marketplace by category, including direct brand partnership, advertising, travel services, et cetera? What's the commission rate by category? And how do we guarantee our product authentication process for online marketplace products? Second question is, given the structural business mix change, how should we think about 2019 GMV and revenue growth, respectively? And is there any implications to outgrow the operating margin expansion target? And lastly, from a big picture perspective, any thoughts you can share with us regarding the change in competitive landscape given the partnership between Alibaba and Net-a-Porter and also JD and Glenfiddich? How do we plan to differentiate against the peers? Thank you very much.
Shaojun Chen: [Foreign Language]
Jingbo Ma: Hello. Our CFO Mr. Shaojun Chen answer the first and second questions. So for the first question, Secoo is strategic positions to build up a boutique lifestyle and service platform. In the year 2018, we continued to reinforce the well-developed categories, such as apparel, watch and bags, while expanding offerings in new categories that consumers have substantial interest, such as beauty product, the 3C, the electronic appliance, the Secoo Sport, Secoo travel and home accessories to diversify and curate a comprehensive section of trend-setting the growth offerings.
Shaojun Chen: [Foreign Language]
Jingbo Ma: In the fourth quarter, especially taking the opportunity during the influential promotional activities, such as the Double-11 and Luxury Festival of December '17, we not only achieved the strong sales in dominant categories, but also, to some extent, promote sales in tourism, 3C and beauty categories. As such, our GMV in the fourth quarter grew by 58.5% on a year-over-year basis, with marketplace business generating approximately 30% of the total GMV. Currently, depending on our collaboration with suppliers, we now have three corporation models, namely marketplace [indiscernible].
Shaojun Chen: [Foreign Language]
Jingbo Ma: I like to give you a breakdown in terms of categories.
Shaojun Chen: [Foreign Language]
Jingbo Ma: So the 3C, the electronics clients take the overall GMV at 4.03%.
Shaojun Chen: [Foreign Language]
Jingbo Ma: Beauty takes 2.92%.
Shaojun Chen: [Foreign Language]
Jingbo Ma: The footwear and accessories takes around 8.6%.
Shaojun Chen: [Foreign Language]
Jingbo Ma: The tourism and lifestyle takes around 7.8%.
Shaojun Chen: [Foreign Language]
Jingbo Ma: We set a few entry standard for suppliers and product that we engage with for marketplace models, including, first, a direct brand corporation that can standardize those 3C digital product for the third-fold service offering. We choose well-known brands with high quality services. The first is to have long-term collaboration with part of counterfeit product and can guarantee a high quality. In the meantime, we require the product on our marketplace model complying with our platform's policy of quality. We attach great importance to customer's feedback so as to implement entire process control.
Shaojun Chen: [Foreign Language]
Jingbo Ma: So for the first two questions - for the second question, so as we remain focused on executing our strategies, we expect our GMV will continue to scale up at a faster pace.
Shaojun Chen: [Foreign Language]
Jingbo Ma: We estimate our GMV for the first quarter of 2019 will grow by over 55% on a year-over-year basis. However, the accounting treatment for marketplace business is different from merchandise sales, and revenue growth is slower than the GMV growth. In terms of the gross margin, increasing contribution from the marketplace business is good for us to improve our margins. We estimate the gross margin for the 2019 will be up approximately 200 basis points.
Richard Li: [Foreign Language]
Jingbo Ma: Our Founder answered the third question. Basically, there is a tremendous market demand and great potential for long-term divestment in China's upscale market, Secoo's position to provide the premium lifestyle product and services address this market demand and clearly differentiate us with competitive advantages. So there will not be substantial change in the competitive landscape. We will continue our strategy of strengthening events, channel and crossover collaborations, increase more high-end goods and services, improve our supply chain system around the world, integrating online and off-line omni-channel operations and vigorously developing premium membership program. This different - this difference between the other competitors.
Richard Li: [Foreign Language]
Jingbo Ma: So our active users have been rapidly growing with 70% year-over-year increase for the full year of 2018. Our accumulated registered users reached 27 million as of the end of 2018, with ever growing customer loyalty, which is reflected by a 51% retention rate. The excellent performance of our business demonstrates our advantages and potential in the space of high-end consumption and service segment. So we're quite confident.
Karen Chan: Thank you very much.
Richard Li: Thank you.
Operator: Thank you. As there are no further questions, now I'd like to turn the call back over to the company for closing remarks.
Jingbo Ma: Thank you, once again, for joining us today. If you have any further questions, please feel free to contact the Secoo's Investor Relations through the contact information provided on our website or The Piacente Group Investor Relations, whose information is also on our website.
Operator: This concludes this conference call. You may now disconnect your lines. Thank you.